Emilio Rotondo: Thank you very much. Good morning to everybody, and welcome to our full year 2021 results presentation. As in other occasions, the presentation will be held by Aena Chairman and CEO, Mr. Maurici Lucena; and by the CFO, Mr. Jose Leo. We will not go through all the presentation. So Mr. Lucena will start, then will go to Mr. Leo and we will then move into the Q&A session. Now without further ado, I give the floor to Mr. Lucena. Thank you.
Maurici Lucena: Thank you, Emilio. Hello, everybody. I'm really pleased to present in financial results and to share with you other reflections concerning activity and expectations. I will start with Slide 4, which I think that it's pretty well summarizes the evolution of activity and the most relevant economic and financial trends. Of course, I'm referring to 2021. If I start with passenger traffic, as you can see, Aena Group passenger traffic increased to 136.3 million passengers, implying a recovery of more than 44% of the traffic in 2019, which, as you know, is, I would say, everywhere the point of reference, before the pandemic. Concerning the traffic in Spain, where we have our main network of airports, traffic in 2021 in Spain was equivalent to 43.6% of the traffic in 2019. In London, in -- concerning the Luton Airport, we registered a recovery of only 25.5% of the traffic in 2019. You know that, in the United Kingdom, I would say that movement restrictions have been harder than in other European countries. And finally, in Brazil, the recovery was a good one, in particular, 85.2% of the traffic in 2019. And actually, in the last months of 2021, traffic in Brazil was higher than the traffic equivalent to the same months in 2019. This means that the total consolidated revenue increased in 2021 to almost €2.4 billion. EBITDA stood at 600, almost €50 million, which reflects a decrease of 9.8% compared to 2020. So here, as you can see, we have a symmetry in the sense that traffic has been higher than the traffic in 2020, but the financial results have been worse, and you know perfectly well that this is because of the MAGs and the approval in the Spanish Congress of a final provision that has really had a negative impact in Aena's accounts. In any case, EBITDA margin closed at almost 27% in 2021, which was a little bit lower than EBITDA margin in 2020. As I said, these figures have been clearly affected by the accounting of the MAGs due to the application of the seventh final provision. We will call it the F7, and additionally, impairments for a net amount of almost €100 million. Consolidated net result came to minus €60 million. And if we exclude the effect of the impairments, the consolidated net profit would be a positive one, in particular €14.6 million. On the other hand, the operating cash flow ended with an increase of almost 92%, up to €280.5 million. And I would like to highlight that the cash flow generation in the last quarter of 2021 was a very good one of €260 million. The consolidated net financial debt of the Aena Group has increased to €7.4 billion compared to €7 billion at the end of 2020. This increase, combined with a lower EBITDA, has led to an increase in the net financial debt-to-EBITDA ratio for the consolidated group to 11.5x. But you know that it's important to underline that the financial ratios included in the contracts with financial covenants are linked to Aena SME, it means not to the consolidated group. In other words, the net debt-EBITDA ratio of Aena SME has closed at 10x compared to 8.1x in 2020. I would like to make further comments. And I will now move to traffic trends. We've witnessed a very good progress of the vaccination processes, I would say, across Europe. And this, along with the progressive lifting of the restrictions, which I think that will continue because I guess now that governments try to, let's say, balance the trade-off between health and economy, and I think now that the economic recovery, it's being considered more important than in the first stages of the pandemic. So this clearly leads us to be sanguine about the traffic recovery. We point -- as you know, we point to 68% traffic recovery in the current year in 2022. But of course, we are very prudent because our forecast doesn't mean that we can be 100% confident that this is going to happen because we are, and I would say -- I'm saying this very naturally, we are entirely in the hands of the evolution of the pandemic. But again, I'm more confident, and I'm more optimistic at present than I was in other stages of the pandemic because, as I said, the combination of the evolution of the pandemic, the intrinsic evolution and the sector public decisions, I think that make good or at least better future scenario than in the past. And I can confirm this with also the expectations of the airlines. You know that we've had a very good signal concerning the airlines. They have put in the market for the summer season 2022 more capacity than in 2019. Of course, I'm now referring to the summer season. And this is a capacity that they put in the market, then we'll see how this materializes. But if airlines put this capacity in the market, it's because they have good signs concerning the demand of the market that make them, as I said at the beginning, sanguine about the evolution of the traffic. And I would say that what they detect in the market concerning the behavior of passengers, which, I think, is really good and people -- and I think that they are now clearly happy with the expectations of a good summery -- a good summer season. Okay. You know that in the same direction, Aena has approved the application during the summer season of the current year of an incentive for passenger traffic recovery. This is a -- I would say, a very different incentive scheme compared to the schemes, the incentive schemes that we approved in the last 2 years because the capacity that the airlines have put in the market is a lot higher than in the past than in past stages of the pandemic. So now our new incentive scheme, very -- in short, what we are trying is that when airlines exceed the -- what they have conveyed to us, the capacity they have conveyed to us, concerning a particular threshold, we will incentivize them with respect to the seat capacity that they scheduled in -- or at the end of January. In other words, at the end of January, airlines conveyed to Aena the capacity that they expect for the summer, and we will give them incentives if they overcome concrete thresholds. With respect, in this case, the seats in -- within the planes. So we -- in other words, we will not support them with more claims, but we will support them with more passengers if they are able to bring about more passengers to the planes that they have now scheduled. I now move to regulation. You know that we've been through tough period in regulation because, in the last months, we've had good news. DORA 2 has been approved. I think that this clearly conveys a signal to the market of stability. Now airlines know very well what our airport charges will be. So we are confident that this will help airlines to structure, to better structure their forecasts and their seats for the airplanes -- for the planes. And on the other hand, last week, you know that the CNMC issued its resolution on the supervision of Aena's airport charges for 2022. You know that in this area, we have a little bit of complexity because one thing is the IMAAJ, another thing is the e-map. The difference between the e-map and the IMAAJ has to do with technical adjustments. But these technical adjustments could now be very significant because of the factor K and because of the very, let's say, singular evolution of the traffic in the worst months of the pandemic. The resolution of the CNMC accepts the proposal that Aena conveyed to this institution, which implies that the IMAAJ will be established at €9.95 excuse me, per passenger. This means a reduction of 3.17% compared to the 2021 IMAAJ. And at the same time that Yapa, Spain and Ryanair have filed 2 appeals against this resolution. In particular, they consider that we should not include part of the COVID expenses, the COVID costs concerning the first months or until September of 2021. We -- and I think this is almost -- I just suppose this is also the opinion of the CNMC, we consider that it's a value to have a path of the charges that is not very bumpy. So it's better to have, in 2021, decrease in charges because of factor K. But if we did not -- if we had not included more COVID costs, this decrease, I think, would have been a worse one. And again, we would have faced higher increase in 2023, which, if you can avoid because you value, as I said, the stability of the path -- of the future path of charges, I think it makes complete sense. In any case, I consider that the charges approved and supervised by the CNMC will not be modified. This is my guess. This is Aena's guess, and we'll see. But I'm very confident that the CNMC will confirm each resolution -- the last week resolution. Now I move to commercial activity. This will be my final reflection. You know that, on the 3rd of October, 2021, the DF7, I mentioned, the set DF7 that I mentioned at the beginning of my intervention entered into force. As a result, MAGs established in the commercial lease agreements for duty-free shops, retail stores and food and beverage activities accrued from the 15th of March, 2020, to the third of October 2021 have been modified. The total amount of the reduction corresponding to MAGs affected by DF7 amounts to €727 million. Likewise, and this is important, Aena freely, freely agreed to modifications with the operators of rent-a-car, advertising and other commercial activities to reduce the lease payments. The reduction of these rents that Aena freely agreed amounts to an additional €68 million. So the total reduction in MAGs and fixed rents accumulated at the 3rd of October, 2021, amounts to €795 million. You can see in Slide 6, more information. I'm sure that both Emilio Rotondo and JoseLeo will complement my explanations afterwards or in the Q&A time. At the -- In parallel, concerning this legal change, DF7, you perfectly well know that Aena understand that DF7 is very probably unconstitutional. And Aena is requesting that the judicial body in all the legal disputes we have now in motion that the judicial body, we -- could raise a question of unconstitutionality. In any case, I would -- again, I'm positive concerning also commercial activity because the evolution of the commercial activity in the last months has been, I would say, very positive. Despite the ongoing legal disputes, our business relationships, I must say, with the commercial tenants are still working meaningfully. And actually, recent tenders, today, Spanish newspapers has published -- Spanish newspapers today has published recent tenders, I was seeing, for commercial contracts ended with a significant interest and with increases -- significant increases in the MAGs offered. So this confirms that the expectations in the commercial area are, I would say, also optimistic. Thank you.
Jose Leo: Thank you. This is Jose Leo here. I will just spend a little bit of time on the slides that provide numbers, information, more detailed breakdowns about the commercial revenues. I would suggest to go to Slide #6. What you can see here is exactly what the Chairman and Chief Executive described minutes ago. We have remembered that the total impact of the DFT, our estimated impact of the DFT in terms of cash over the entire life of the contracts affected is something in the region of €1.3 billion. So a couple of months ago, we expected a little bit more than that, but it will be there or thereabouts subject to the actual evolution of the traffic over the coming years. But what is absolutely crystal clear is that we have accumulated part of that already in our balance sheet. So we have €795 million of accumulated revenues and receivables in the balance sheet until the 3rd of October, 2021. Well, we know we will need to take that to P&L. And under IFRS 16, and we mentioned that a number of times, there is no alternative other than to take it to P&L over the life -- over the remaining life of the contracts on a straight-line basis. And this is what you can see here. So regardless the cash impact, the P&L impact will be what you can see in this particular slide. In 2021, in the fourth quarter, obviously, we have taken to P&L €168 million, out of which €144 million are related to the DF7 implementation. The rest are the result of contract innovations. So they were willingly accepted by Aena. And then over the rest of the life of the contracts, we will be taking the rest of the impact to P&L. So 2022 and 2023 will be, by far, the most impacted years as you can see here. Without further ado, I will move on to Slide 11. Slide 11 is showing us the evolution of the ordinary revenue between 2020 and 2021, I mean, the commercial ordinary revenue. This is the headline revenue that you know is a mixture of underlying proper business and accounting entries. But this -- it's worthwhile to take a look at it in any case, however -- I mean, however, meaningless it might be at this stage. So you can see here that from the headline point of view, the 2021 is the worst year than 2020 despite the fact that the number of passengers went up by more than 50%. And this is clearly driven by the accounting entries. But this is worthwhile to take a look at this particular slide just to, let's say, dwell on it for a while. Then moving on to the Slide #12, what we tried to do here is to show you the real, the actual evolution of the underlying business. And this is what we call total business activity. In this particular slide, we are including everything commercial. So not only the outlets, but also the real estate revenue. Altogether, the total business activity, which is, from our standpoint, made up of 2 elements, 1 of them is the fixed and variable rents invoiced and collected on the basis of the actual number of passengers -- the actual passengers buying or shopping at the airport. This is going up by 40.8%, and the MAGs revenue invoiced or to be invoiced, to be more precise, at the time of closing the accounts is the rest. These are MAGs that are entirely supported by either the DFT resolution -- sorry, the DFT sorry, the DF7 provision or by the contracts we enter into with a number of players. So, altogether, the underlying business activity, the proper business activity is going up by 24.1%. The rest is accounting. The first line is the accumulation of MAGs through the year. And the final line is the adjustment, the straight-line deferrals of the -- driven by the IFRS 16 application. You will notice that this is not exactly the same figure I showed you before. The reason for that is I didn't want to create too much confusion. But the receivables, the accumulated MAGs in the balance sheet, part of them were already provided for under the potential credit deterioration parameters in application of IFRS 9. So when we release -- when we take to P&L a chunk of the receivables, we also take to P&L a chunk of the provisions. This is the reason why net-net, the impact is €148 million. But I didn't want to confuse any more. So I -- we decided to show you the -- only the asset side of the deterioration in the previous slide. And I will stop here. And I think, through the Q&A, I'm sure you will be able to make a more -- well, a more -- you will be able to get more detailed information about all these issues we have discussed.
Emilio Rotondo: Operator, we can now move into the Q&A session, please.
Operator: [Operator Instructions] The first question from Cristian Nedelcu from UBS.
Cristian Nedelcu: This is Cristian. The first one, could you please tell us a bit more about the latest trend in terms of spend per passenger, so before any marks or anything, just trying to get a feeling versus pre-COVID levels how spend per passenger is going these days? And in particular, have you seen the U.K. consumer spending more after the duty-free statement? Secondly, talking a bit about the OpEx bridge in 2022, then you comment a bit on the moving parts, what wage inflation do you expect, anything on electricity costs, COVID costs, reopening infrastructure. So can we get a better -- a bit of color on that, please? And the last one, you had, in December, this decision from the states and they decided not to compensate Aena for the lost revenues in 2020 and '21. Now I think DORA 1 clearly stipulates that you should be compensated when traffic falls by more than 10% below the regulatory expectation. So do you have any hopes of turning around this decision? Were you surprised by the decision at all? Or were you expecting it?
Jose Leo: Thank you, Cristian. I will answer 3 of the questions, and then I will -- Emilio will surely give you some more detail on the latest trends on spend per passenger. Starting with Article 27, the last of your questions, we are completely sure and confident that the Article 27 provisions apply in full to the COVID-19 situation. We cannot think of anything more clearly, let's say, provide for in Article 27. So we will carry on pursuing the -- well, what we believe is our right to be compensated. So as ever, you can never be 100% sure whether you're going to be successful or the other way around, but the rest assured that we will continue pursuing this -- well, a positive decision on that. There are a number of avenues to do that. And one of them will be going to court, of course, and we are not ruling out any of them. At this stage, there is very little else I can tell you, let alone, I cannot anticipate what the final outcome of this process will be. But I think we have the right and the obligation to put forward our case because we believe the Article 27 and the COVID-19 situations are perfectly matched. Secondly, on the U.K. passenger expenditure, it is early, I would say. Maybe Emilio can give you, later on, a little bit more color. But it is early because -- well, frankly, the U.K. passenger have been lagging a little bit behind the rest of the European passengers for obvious reasons. The restrictions there have been probably a little bit more intense, and they lasted a bit longer. So it is now that we see a clear opportunity to -- well, to see how the U.K. passenger reacts because we believe that the summer season is likely to bring us a huge number of U.K. passengers. Once the restrictions have been lifted, we have every expectation that the traffic with the U.K. will grow very, very significantly over the coming months, and we will see. But I don't think, at this stage, we can provide any meaningful color on whether the consumer -- the U.K. consumer is changing the behavior. It's true that the pound has, let's say, move a little bit up, and this -- probably that will help. And finally, in terms of the OpEx, as I said a number of times, the -- unfortunately, the trend in OpEx is one off going up, and it's going a little bit faster than the traffic recovery for obvious reasons. One of them is that when we have opened all the infrastructures already, there is very little left to be opened in 2022. On top of that, there are inflationary pressures. You described some of them, probably the most relevant one for us so far is the energy cost that represented an increase of €70 million year-on-year in 2021, and we cannot rule out 2022 to suffer further increasing costs. We don't know, but we cannot rule it out. And also, inflationary pressures on pay. We believe that as most of our contracts -- third-party supplier contracts are already in operation, probably the inflationary pressures from the pay side will impact us maybe later on and not in 2022. But still, there are a number of headwinds. But more importantly -- more importantly, I always mentioned that the level of efficiencies that we could reach in the future won't be equivalent to the efficiencies we reached in 2019 and years before. And I described the reasons for that extensively and intensively. This remains the case. Having said that, once again, our margins will be -- I am confident will be top of the list in the European landscape. And we will continue being extremely efficient and extremely efficient operator. But all this pressure will play a part. So don't expect the 2022 numbers, cost numbers to be the same than in 2021. But I cannot provide any more guidance at this stage, I'm afraid.
Emilio Rotondo: Cristian, on your question of the retail revenues and the spend per pax, I think, it's a complex answer, okay? And I want you to maybe go a little bit more in depth on this. First of all, if we compare '19, just '19, '20 and '21, first of all, we have a great difference in terms of traffic. As for sure, you know, 2019 being the reference, but 2020, a year in which we had almost 3 months of normal traffic, then with no traffic and then the second half of the year with a progressive increase. 2021 being a year that has gone from less to more, okay? But this traffic evolution has to be combined also with the shops opened. So in 2020, we had 3 months with 100% of the shops open, then all of them or almost all of them closed by 3 months and then a progressive opening of shops, but on a different rhythm depending on the business. So we have the duty-free shops that has been almost fully open, 100% of them open by approximately mid-2021. In the end, also the duty-free business is, the one that has the highest spend per pax. Then we have the food and beverage that happened the same, and the shops have been progressively opening, but we have also been affected by the restrictions to the people not being passengers to go to the land area, the land area of the airport. So those restaurants have been closed until, I think, it was October 2021, that also has an impact on the total revenue and also the spend per pax. And thirdly, the country of origin. As you can imagine, as you have seen also, most of our traffic in 2020 and 2021 has been domestic, and we have almost none -- didn't have any long-haul international traffic that indeed has an impact also in the duty-free and food and beverage and in all the 3 businesses. Apart from that, of course, the variable rent paid in terms of percentage, in terms of shops, duty-free and rest and food and beverage also is different. So depending the weight of it's -- of the activities in the period we are analyzing also the spend per pax will be affected. So all in all, what makes is this comparison very, very difficult. In any case, I'm trying to give you some view in relation to what you also asked in the last quarter. Duty free shops have performed very positively also in the last quarter with a spend per pax close to what we were seeing in 2019, okay? Shops, as I've already mentioned, might be the laggards of the 3 businesses with lower spend per pax and also a lower percentage of shops opened versus 2019. And food and beverage, in line with duty-free shops, the spend per pax is quite similar to what we saw in 2019. And also, as I already mentioned, almost all the restaurants have been reopened by now as of today. Hope this helps.
Operator: We have the next question from Nicolo Pessina from Mediobanca.
Nicolo Pessina: First question on traffic. I'd like to know your view on 2022, Is €187 million traffic volume included in Magnora framework still your best guess? Or do you feel -- do you think you are more optimistic today given the outlook provided by the air carriers that would meet summer capacity? Second question on new contracts recently signed, you mentioned that MAGs, for these contracts, are above the 2019 level. Is it the case for all contracts? Is it the case for all the contract conditions in terms of brands duration? So just to understand the attitude of the commercial operators to signing new contracts today. And final question, if you can provide us the number for the yield concentration in 2021?
Jose Leo: Okay, Nicolo, thank you. First of all, we are still expecting 2020 passenger numbers to be in the region of the DORA number. Actually, if you look -- this is by the buy. But if you go to the to the annual accounts of Aena, the year-end report, and you take a look at the assumptions we took in order to run the mandatory impairment tests, this is our base case. Having said that, and it's too early. As the Chief Exec said minutes ago, it is -- we have to be prudent. There are a number of, well, positive news on the health side. But well, nobody knows. But it's true as well that we are now very, I would say, optimistic about the summer season. So maybe in a couple of months from now, I don't know, maybe we need to revisit our forecast for the year, and we will do it openly. It's early because of the unexpected, well, situations we lived in the past. But we are more positive about the summer season that we have been in 3 years. So that's a very promising starting point. With regard to the new contracts awarded, clearly, I think, we have awarded something in the region of 100 contracts. This is not -- of course, they are not very, very large ones, but they are not anecdotal. They are very relevant as well. And there are all sorts of cases. And you could find contracts which are less attractive, others that are particularly attractive. But overall, what is true is that the level of MAgs that the bidders have committed are -- have been positively surprising us. And confirming what we have said a number of times, which is the MAG framework is still valid for Aena. We don't know whether in 4 or 5 years, we have to, let's say, change our money, but we believe the MAG structure is still very valid. And simply, through a couple of years, there was no traffic. And when you have no traffic, disputes and difficulties arise inevitably. But the framework is still valid. It's working, and in many -- overall, we are recovering for those 100 contracts, the 2019 MAGs in 2023. And I would say a little bit more than that. So that's promising. And the third question, sorry?
Emilio Rotondo: Yes, it was the yield concentration of 2021 that has been €62.6 million.
Operator: The next question is from [Elana Dual] from JP Morgan.
Elodie Rall: It's Elodie Rall from JPMorgan. I have 3, if I may. The first one is on tariffs. So now we are clear about 2022 tariffs, but I think you've also set your proposal for '23, '24, '25, '26, '27 for the remaining DORA 2, if I'm not mistaken, looking for 3% increase 2%, 1%, 1%. So I don't know if you commented on that already, but can you come back to this? Is this your assumption and proposal? And what's going to happen from there? So that's my first question. Second question is on CapEx. I think you reported lower CapEx in '21 that you had previously guided for. Could you tell us if the €450 million to €500 million range for the next few years per annum is still what we should model? And last one is on dividend. Now you expect most likely a return to profit in '22. What kind of dividend can we expect on net profit in '22 knowing they will still be a bit depressed versus '19, even if they are -- even if your forecast on traffic is maybe too conservative. So would you increase the payout versus the 80% previously?
Jose Leo: Sorry, I was speaking to no one. Okay. I'm going to start. First of all, we have the headline tariffs, the headline charge, which is the i-map. And this is given is €9.89 per pax every year of the DORA 2. Then what really matters, and the gist of the question is the IMAAJ, the adjusted charge, and this is impacted by a number of adjustments. Clearly, the most challenging year for us, and we don't know now what the adjustments are going to be, but we can definitely envisage some trends. First of all, the most difficult year was '20 because we had -- for the first time, we had a yield concentration, massive yield concentration on 2020. So we needed to make sure that this adjustment -- this negative adjustment wouldn't create a sort of, let's say, trap for the rest of the DORA, and that was sorted. Then, of course, now after the COVID crisis, as we have costs to recover, this is filling part of the gap. That happened in 2022. And that will happen in 2023. So in 2023, first of all, we will have a level of concentration to return back to the airlines that will be lower, roughly half or less than half of the previous year. And then we will have also COVID costs that we expect to be very, very close to the 2021 figure -- overall 2021. And then we will have to recover the last quarter of 2021 as well. So time will tell. So we see no reason to see the charges going down, let's say, I mean, the adjusted charges. But frankly, only time will tell because it will depend very much on the evolution of traffic, the profile of the traffic, the number of factors, whether or not there will be still COVID cost to recover at any point in time, things like that. But in principle, you can expect something very flattish, I would say, over the rest of the DORA. The investments, yes, this is a very good guide because, clearly, the cost -- the regulated investment is not going to change too much. It will be around this figure. Obviously, you have to add some, I would say, €50 million to €100 million per annum in terms of commercial investments, but still, it will be something relatively predictable, I would say, fully predictable. And then on dividends, there is very little I can tell you. The policy will need to be approved by the Board. As I said before, we see no reason or we see no reasons at the management's level to change the payout ratio, I think, is attractive and is a very good one. But clearly, the key point here is whether or not we will be delivering profits, hopefully, we will. But what the 2020 and 2021 have been years of losses, as you know.
Elodie Rall: Can I just come back on tariff?
Jose Leo: Yes, sure.
Elodie Rall: So you expect flattish tariffs basically?
Jose Leo: No. I said it would be a reasonable or you could expect flattish tariffs. But once again, I'm not telling you they will be flat. It will depend on the number -- but it's a reasonable assumption.
Operator: The next question from Luis Prieto from Kepler.
Luis Prieto: Luis Prieto here. A couple of them from me. The first one is the MAGs in the latest retail contract awards, you mentioned sent contradictory message regarding tenant stance on the retail model after all these quarters of dispute between you and them. Does this imply that tenants believe that they would still be protected by the legislator in a potential future despite the force majeure clause that it seems that you have included in these new contracts? And my second question would be, if you could please also update us on the duty-free retendering process. The press recently referred to you seeking support from an external adviser to, I would assume, redefine or fine-tune the contract model. Is there any light you can shed on the overall approach to this process from Aena's part?
Jose Leo: Thank you, Luis. I wouldn't say they are sending contradictory messages. They want to have their cake and eat it. The -- on one side, they want to be in the business because Aena's airports are a very attractive place to do business in the travel retail arena, very attractive. And they won't pull, they won't go. This is a very significant part of their business for them. But at the same time, through the COVID, they wanted to be relief. I wouldn't say this is contradictory. This is simply human being and management reasonable behavior. What we have -- whether they are expecting to be protected by, I don't know, the Spanish Parliament in years to come, I don't know. What is true is that we learned the lesson. And in our contracts, no, we have a different set of provisions to face these kind of situations. In our previous contracts, the tenant committed to pay the MAGs coming hell or high water. It was given. They ended up, let's say, getting away, not paying for that commitment. So what we have done now is to include clauses that the state that in case of the traffic coming down by x, they will be relieved by Y. For instance, if the traffic goes below 30% of the year of reference level, they would still pay 50% of the rent. And if they say no, that they didn't commit it and didn't realize it would be just ludicrous. But well, I cannot speak for the for the Spanish parliament or the tenants. But we believe we are now signing contracts where things are crystal clear. They were crystal clear already, but just in case of anyone having any doubt. For me, the positive thing here is clearly, traffic going down dramatically is not a good situation for anyone and everyone, if you like, is trying to find the closest exit. But that doesn't mean that our commercial tenants are not committed to the business because our business is attractive to the point that they want to increase the MAGs over and above the initial tender conditions. And the TLI is exactly, well, duty-free, it's exactly what you said. We are launching a process to hire some advisers in order to work over the coming months in the best possible design and to do the work proactively towards making the process very competitive and attractive -- attracting the best in class. But it's early days. We need to wait. The contract is still running until the end of October 2023. So we would need to launch the tender probably in the last quarter of 2022 or first days of 2023.
Emilio Rotondo: Sorry, Luis, let me make a more correction to Jose in terms of the cost included in the commercial contracts, okay, is if the traffic falls more than 50%, okay, the minimum annual guarantee would be reduced by 30%, okay? He has missed the numbers.
Jose Leo: The traffic goes down by...
Maurici Lucena: 70%.
Emilio Rotondo: By 70%, it's 50%.
Jose Leo: Exactly. You said is a traffic level is 30% of the original.
Emilio Rotondo: Okay. Then I was -- it was misunderstanding. I struggled with mathematics.
Operator: The next question from Andrew Lobbenberg from HSBC.
Andrew Lobbenberg: Can I ask a simple one. Can you explain the lump of interest -- positive interest revenue in Q4? Second question, can you talk what can you tell us about the change in the Board that was announced today? How secure is the involvement of TCI going forward? And then the third question, sorry to come back to the MAGs. So really helpful Slide 6, and thank you for that. You've told us how the €795 million impact would be spread over the future years. But obviously, you're guiding to a total of €1.3 billion. So we've got some 500 more to come in as an impact. So how should we think about modeling that €500 million? How is that going to be laid out in impacting roughly '22, '23, '24, I guess, then it really tapers down? And then how do we spread it out? Can you just talk us through that calculation?
Maurici Lucena: This is Maurici Lucena. I will just answer the question concerning the exit of Chris Hohn from our Board. Well, I think that he's been very clear in the -- first of all, in the letter that he sent me. And the relevant point is that you know that we have conveyed communication to the market in which I think he is very transparent. I think that Chris Hohn has been a member -- a very important member of the Board for the last 7 years. And he told me when we talked about his decision the same that he has made public that now he considers that he needs time for other -- for other activities. And, at the same time, it's important that -- because I think it's also been -- that's my reflection, it's has been an important factor that he is very -- he's very confident on what he considers a good job of the current management and the Board. He's expressed this publicly, and he said to me that this is an important factor because he is not a threat that not being in the Board could be a problem because he thinks that the management team is very strong, and he considers that we are managing the company through a very difficult period in what he considers are optimal parameters. And I would ask -- I would add, sorry, from a personal perspective, I will really miss him because through the last almost 4 years, I think that Chris and I, we have built a very good professional and personal relationship. I think he's an outstanding, not only investor, but also a member of the Board. His ideas are always very good ideas for the company. But I think that he will be -- he will make this compatible with his new position from outside the Board because he and I, we will interact frequently. We have both confirm that it's in our mutual interest that we interact frequently. And we will jointly analyze the evolution of the company. And he's, I think, very committed to Aena, and he will give me his inputs. So all in all, I'm confident that it will not be the same as if he's in the Board, but that I will have -- I will obtain a great deal of his inputs and his skill through this frequent relationship. So I will miss him, but I think that, in the future, he, at the same time, will continue on adding value to the management of the company. And he will remain as a very significant investor and his fan, of course, TCI in the foreseeable future.
Jose Leo: Well, Andrew, thank you. With regard to the financial results impact, you can see that on Page 17 is one-off. When the Region de Murcia Airport agreed with the freeholder, the Murcia Regional government, the rebalancing of the concession, one of the elements of that agreement has been that all the committed minimum rent, so to speak, to pay to the regional government, regardless the traffic evolution have been waived in full. So that has disappeared from the Murcia's International Airport in one go. And we took that to P&L at consolidated level through the finance revenue line. So it's a one-off and it's just a debt that has been condoned 100%. And then you mentioned -- sorry, what else?
Andrew Lobbenberg: So the MAGs, the evolution from the €795 million we've got on the books, and you've explained, we've got to get that on current plans to €1.3 billion. How does that play out? How do we model it?
Jose Leo: Okay. First of all, I'm sure you know, but from now on...
Andrew Lobbenberg: I really don't.
Jose Leo: We -- just in case, Andrew, this is largely a way of opening the sentence, a polite one. From now on, we won't be accounting for any more euro on MAGs that are above the DF7. So there will be no more accumulation of revenues and receivables beyond or above the DFT7 level permitted by law. So there will be no more, let me use this expression, please don't take it into account. This is snowball, okay? But from the cash standpoint, of course, we will still have revenues that originally, originally were expected under the application of the original contracts. That doesn't mean they are accounted for. So they won't be creating the same sort of, let's say, impairment impact on the balance sheet. But it will be cash that we won't collect if we compare with the original situation, let's say, 2, 3 years ago. And this is the €1.3 billion. And the €1.3 million won't flow through our P&L -- sorry, won't flow through our cash accounts so forget it. The only thing you have to do, and this is what I expected you all to do from day 1 will have been to consider that €1.3 billion of cash will never hit our bank accounts. Time-wise, it's difficult, it's difficult. When this money would be coming into the business? Who knows? Probably through the -- you can make any assumption you like, for instance, to model it in accordance with the duration of the contract. So you can have a good proxy in the way we are going to take this to P&L, but nobody knows. It's simply that -- let's say, 2 years ago, under the COVID circumstances, we would have expected to collect €1.3 billion that now we know we won't collect. And actually, we started by not collecting them at the beginning of 2021. I don't know if this helps, but...
Andrew Lobbenberg: No, it does.
Operator: The next question from Marcin Wojtal from Bank of America.
Marcin Wojtal: Yes. I've got a couple of questions. In your presentation, you mentioned commercial incentive that you are providing for the summer season of 2022 linked to the number of passengers. Can you give a bit more detail? Are these commercial incentives meaningful in terms of, let's say, the euro amount or the average pricing? So that's my first question. And my second question is, apologies, just going back to your operating expenses on your electricity costs. So if I'm reading correctly, in your report, your electricity bill was about €120 million in 2021. I was wondering, do you have any hedging in place to mitigate the impact of rising electricity prices, or we should basically look at the spot price?
Jose Leo: Okay. With regard to the incentives, clearly, they are incentive to airlines to grow the passenger numbers. They are meaningful. They are relevant. Of course, they are never terribly material in the context of our P&L. You know that from the past. So don't expect this to amount to, let's say, hundreds of millions of euros. It would be fantastic because if we pay hundreds of millions of euros in incentives, we will get in return billions of euros. So the reality is that, normally, this will end up normally in some tens of millions of euros paid in incentives and, hopefully, some -- I don't know, 100-and-something millions of euros in extra revenues. The incentives are basically providing a discount on the passenger charge element of the tariff. And these discounts are only given if they exceed -- to start with, they have to exceed a percentage of the capacity they have already committed for the summer. So there is a commitment in terms of seats available, and they have to exceed that. If they exceeded over and above the percentage -- sorry, well, they have to comply with that rather than exceeding. If they comply with that, they could get a discount on the additional passengers. This is driven basically by load factors. Just to give you a headline, they will get a 50% discount of the passenger charge in the case of the short-haul and LatAm flights and 100% discount of the passenger charge element of the tariff in the -- for the rest of the long-haul traffic, and that will be for the summer. And then with regard to the -- the way we operate with energy, we have, over the last years, after some time when we hedge, we operated on a, let's say, close to a spot market price, with the possibility of closing the price and hedging with -- if we preannounce with a particular period of time in anticipation. Well, the reality is that we were terribly successful with that. We did extremely well, extremely well. Then 2021 represented a complete turnaround. And when we realized the situation, clearly hedging was a possibility, but hedging would have been potentially a problem because hedging at the levels that we could hedge than would have, in a way, let's say, make us incur the cost from day 1. So you know that the hedging at the right time -- at the wrong time, it could be the wrong decision. For the future, we are reviewing all our policy and assessing this more deeply because clearly, the work is changing and the scenario of the energy cost is changing. I hope this helps.
Operator: We have the next question from John Braun from Stifel.
John Braun: I think you already answered my question kind of, but the question was basically, if you can give us a sense about the talks that you currently have with your duty-free operator. Obviously, I was trying to get a sense if the MAG model will structurally change, let's say, in the direction of a MAG per passenger. So of the target is to keep the current model. But I think you already mentioned that it will not change, right?
Jose Leo: Sorry, what I said is that our MAG model is not going to -- what, for the time being, we don't see any reason to scrap it. We believe it's still valid. When talking about the duty-free contract, in particular, we are now open to all sort of inputs from -- over the coming months and close to 1 year. We will be working with, hopefully, the best-in-class experts to help us shape the new tender. And everything will be reviewed and revisited. I don't think the MAGs will disappear, honestly, even for duty-free. But what we want to make sure is that the next round of duty-free shop tender will be competitive and attractive and will attract people from around the world. And I'm sure duty-free will also be part of it, but I don't know, this is it.
John Braun: Sure. When will the tender -- is it scheduled to start the tender?
Jose Leo: The contract comes to an end in October 2023. So I would say, at the end of this year, probably beginning of next will be the launching of the tender. Before that is -- we will be working with a third-party help to shape the tender process properly.
Operator: The next question is from Jose Ale from Santander.
Jose Marula Rojas: This is Jose Marula Rojas from Santander. Sorry, I have to come back to Slide 6. I wanted to ask you if you could give us your best estimate of the underlying revenue per pax in the commercial business in the Q4. That is once you deduct the market write-off. The reason for asking is that Slide 6, which is very helpful, gives us the negative revenues that were recorded in the Q4. That was €168 million. But I was wondering, since the new law from the parliament came into force in early October, in reality, this amount is not what -- I mean, does not tell us the run rate that would correspond for the Q4, but it's, in reality, a larger amount of revenue. So could you please give us your underlying revenue per pax figure in the Q4, if that's possible.
Jose Leo: And this is quite challenging to [indiscernible] anyway. I think we can provide this in more detail -- but let me tell you that it is well in excess of -- well, not mainly, well, but in excess of €6 per pax, but we could provide you with a little bit more color if you need it. What is clear is that the underlying -- and this is for me, the main headline of -- out of this slide, the underlying business is growing. Clearly, it's not growing at the level of the traffic. But don't forget that 2020 was a mix year. There was a first quarter that was, let's say, the business was operating in full fledge. And then we have a number of shops, particularly specialty shops still closed. So all in all, I think, a growth of 24% in the underlying business is good news and the trend is clearly positive and will be more positive over the -- and as I said before, don't take this as a final, final number, but I think it's in excess of €6 per pax for the fourth quarter, and we would provide a little bit more detail on it.
Operator: The next question from the line of Charles Maynadier from Kempen.
Charles Maynadier: This is Charles Maynadier from Kempen. I just have a few follow-ups on the dividend. So will the dividends in the midterm be based on the underlying earnings or the reported earnings, so that is including the P&L impact of the MAGs that you provide us? Second one is on the K factor. So do you expect a yield concentration or dilution in 2022? And the last one on retail, coming back on the €1.3 billion impact that you calculated and gave us and the €500 million impact is left so over 2022 and beyond. So this figure is based on your traffic assumptions, I understand. And I was wondering if you could give us some color on how this segment will be spread over the coming years. It seems quite fair to assume that it will be front-end loaded. If you could confirm that we have [indiscernible]?
Jose Leo: Sorry, could you say it again, the last question?
Charles Maynadier: Yes, on the retail and the €500 million that is left, so that should be over 2022 and beyond. And you mentioned that timing is hard to forecast, but if you could maybe give us a bit more color on how this demand will be spread over the years. So will it be front-end loaded or back-end loaded in your view? And I assume that it's going to be front-end loaded.
Jose Leo: Well, let me answer this first. I think it's irrelevant, to be perfectly honest, it's entirely irrelevant. And I will tell you why, if I'm wrong, please, let me know. The €795 million of MAGs that we accounted for and we didn't collect, were supposed to be collected roughly 60% in the first quarter of 2021, okay? And the 40% in the first quarter of 2022. We know that for well, more or less. And what we know now is that we won't collect them. So they are gone. Unfortunately, so to speak, they were already accounted for in the balance sheet. The cash never came in. Now we have to take it to P&L. And under IFRS 16, we take this to P&L through a, let's say, using a particular approach, which is a straight line through the life of the -- of each and every contract fine. And you said, well, so you will still have an impact. You will still have an impact. And what I'm saying to you is what is the impact on cash comparing what we would have been expecting, let's say, 3 years ago to collect under, let's say, situation like the COVID and what we will collect. But forget about it, this is money that will never come in. So you don't have to compare with anything. Simply, if you try to compare your current models with your models 2 years ago, assuming that the COVID was coming that nobody knew, that would be the scenario and that scenario is completely irrelevant. It's history, in my view. Simply, when you model the future years, please take into account only the variable element of the commercial revenues and the MAGs that are allowed by the DF7. Take that into account and model that cash and forget about it. The rest is irrelevant. It's not meaningful anymore. I don't know if I'm convincing you, maybe not, but, for me, it's relatively simple. So the €1.3 billion is just comparing with a parallel universe that never occur. We've reported the earnings or adjusted earnings. Frankly, I think, we have no -- our policy is very clear, is reported earnings. Unless the Board of Directors consider in each and every case, specifically potential adjustments. So for the time being, I would, obviously, in the coming months that won't to make any difference at all, but I would say, you have to take into account -- to count on the reported earnings approach. What else?
Charles Maynadier: Yes, on the K factor, whether you expect another yield of concentration or not.
Jose Leo: It's difficult to say because we are probably, let's say, sitting on the fence now. The traffic profile is changing. The load factors are changing. So it would be difficult to say whether we will end up in a concentration or dilution scenario. But in any case, they will be relatively -- well, they won't be material. They won't be the sort of numbers you have seen in 2020 or 2021. There will be probably of a completely different scale. I don't know if you understand what I mean here.
Operator: There are no further questions at the moment.
Emilio Rotondo: Okay. Thank you very much for joining us this today. And hopefully, we see you back on first quarter results presentation at the end of April. Thank you very much. Bye.